Operator: Greetings, and welcome to the Euronet Worldwide Fourth Quarter 2011 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce your host, Mr. Jeff Newman, Executive Vice President and General Counsel for Euronet Worldwide. 
Jeffrey B. Newman: Thank you, Tyrone. Good morning, and welcome everyone to Euronet's Quarterly Result Conference Call. We'll present our results for the fourth quarter and the full year of 2011, on this call. We have Mike Brown, Rick Weller and Kevin Caponecchi on the call.
 Before we begin, I need to make a disclaimer concerning forward-looking statements. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of future performance are forward-looking statements.
 Euronet's actual results may vary materially from those anticipated in such forward-looking statements as a result of a number of factors, including conditions in world financial markets and general economic conditions, technological developments affecting the market for the company's products and services, foreign currency exchange fluctuation, the company's ability to renew existing contracts at profitable rates, changes in fees payable for transactions performed for cards bearing international logos or over switching networks, such as card transactions on ATMs, and changes in laws and regulations affecting the company's business, including immigration laws.
 These risks and other risks are described in the company's filings with the Securities and Exchange Commission, including its annual report on Form 10-K, quarterly reports on Form 10-Q and current reports on Form 8-K. Copies of these filings may be obtained via the SEC's EDGAR website or by contacting the company or the SEC. Euronet does not intend to update these forward-looking statements and undertakes no duty to any person to provide any such update under any circumstances. The company regularly posts important information on the Investor Relations section of its website.
 Now I'll turn the call over to Rick. 
Rick Weller: Thank you, Jeff. And welcome to everyone who is joining us on this call or over the Web. I will begin my comments with the fourth quarter financial highlights on Slide 5. After reviewing the highlights for the quarter, I will move on to the full year results. 
 For the fourth quarter 2011, the company reported revenue of $319 million, operating income of $23 million and adjusted EBITDA of $42 million. 
 We've also presented adjusted operating income for the fourth quarter last year to remove the impact of goodwill impairment charges for more meaningful comparison to the prior year. 
 Our cash EPS for the fourth quarter was $0.46, $0.05 ahead of the guidance that we provided at the end of the third quarter. The extra $0.05 was attributable to tax benefits stemming from tax planning initiatives, foreign country tax return true ups and shift in the mix of income to lower taxed countries, partially offset by the impacts of unfavorable foreign exchange rates, which was a little more than $0.01 a share. About half of the tax benefit will be recurring in 2012, but spread evenly over the quarters, giving us a cash earnings effective tax rate of just under 30%. I will discuss our segment results in more detail when I get to the segment reporting. 
 Move to Slide 6 please. On Slide 6, you can see the transaction trends in both the EFT and epay segment. EFT transaction grew by 22% in the fourth quarter 2011 compared to the prior year. This growth was attributable to transaction growth in a number of markets including Poland, Czech Republic, Romania, India, Pakistan and our European cross-border acquiring business. 
 Epay segment transactions grew by 10% in the fourth quarter over last year due to double-digit transaction growth in several markets, including Spain, Germany, Italy, the Middle East, India, and the U.S., and to a lesser extent, the acquisition of cadooz in the third quarter. 
 We also saw a stabilization of the U.K., where we achieved year-over-year transaction growth for the first time since 2008, offsetting these increases were traditional -- were transaction declines in Australia as we continued to see competitive pressures in that market. 
 Next slide please. On Slide 7, you can see RIA's transactions increased by 18% in the fourth quarter compared to the same period last year. This increase is attributable to growth in money transfers from the U.S., Europe and Canada, together with continued momentum from other value-added transactions such as mobile top-up, check cashing, bill payment and prepaid debit cards. 
 In the fourth quarter, Money Transfer transactions grew by 11%, this includes an 11% increase in transfers sent from the U.S. including a 10% increase in transfers to Mexico. Transfers sent from non-U.S. markets also increased 10% compared to the same quarter last year. Other value-added transactions increased by 84% compared to the fourth quarter 2010, when we introduced mobile top-up in our RIA agent stores in Spain. This top-up is supplied by our epay business in Spain and sold to customers throughout Spain. 
 In the fourth quarter 2010, we saw volumes of about 1,100 transactions. These transactions grew steadily during 2011 to 358,000 in the fourth quarter, showing success in some of our cross-selling initiatives. 
 Additionally, we saw U.S. check cashing transactions increased by 51% in the fourth quarter compared to the same quarter last year. 
 As I complete this slide and I reflect back on previous calls, it sure is nice to see double-digit growth in transfers to Mexico. 
 Now to Slide 8. On Slide 8, you can see our financial results by segment. For purposes of meaningful comparison of the operating results, we have presented adjusted operating income, which exclude the impact of non-cash goodwill impairment charges we recorded in the fourth quarter last year, as well as charges recorded for acquisition earn out payments. I will focus my segment discussion on the next slide where we present our segment results on a constant currency basis, which provides a better illustration of changes in the business. 
 On Slide 9. In EFT segment, revenues increased 16%, adjusted operating income decreased 2%, and adjusted EBITDA increased 5% for the quarter. 
 The margin declines are largely due to the regulatory driven German ATM fee reduction that we informed you of this time last year. This reduction was largely offset by expansion of our value-added services portfolio and ATM growth in Poland, Romania, India and China. If not for the German ATM fee reduction, revenue, operating income and adjusted EBITDA would have increased 23%, 33% and 27% respectively, for the quarter compared to the same quarter last year on a constant currency basis. 
 Transaction growth outpaced revenue growth due to the shift in transaction mix to lower-yielding transactions from India and cross-border acquiring combined with the impact of the rate reductions in Germany. 
 Our epay segment saw expansion in revenue of 15%, adjusted operating income of 22%, and adjusted EBITDA of 21%. 
 You may recall last quarter, where I pointed out that cadooz, acquired in September, recognizes the gross value of vouchers sold as revenue. This method of recognition was a key driver in this quarter's revenue growth. 
 Earnings growth was largely due to the impact of non-mobile product expansion, particularly in Germany, and our acquisition of cadooz. This important -- this improvement was partially offset by reduced revenues in Australia where related to competitive pressures of a couple key retailers going direct with the mobile operators and in Brazil, where a certain mobile operator modified its distribution strategy. 
 Going forward, we expect to offset this decline in Brazil, by expanding non-mobile and taking a revised approach with the mobile operators. 
 Our Money Transfer segment saw revenue growth of 13%, operating income of 15%, and adjusted EBITDA of 2%. Revenue expansion is largely due to the rebound of the U.S. market where we saw double-digit transaction growth versus the same quarter last year. We also saw expansion in certain new European markets. These gains were largely offset by foreign exchange volatility and economic pressures in Europe. The European portion of our Money Transfer segment is impacted by highly volatile foreign currency exchange rates such as what the market experienced in the fourth quarter.  
 As the euro weakens, customers tend to only send the necessary amount of money and save the additional funds until they can get a better exchange rate for the euros. When we see dramatic weakening in FX rates like we experienced in the fourth quarter, we see reduced transactions and transaction amounts for which we earn less revenue and less foreign exchange press on each transaction. As the euro stabilizes, we expect transaction trends to return to normal, which has been supported by the transaction volumes we saw in December and January, where the euro strengthened. 
 Corporate expenses increased for the third quarter due to the higher stock-based comp and cash-based compensation. 
 As a side point in reflecting on the Money Transfer, you can see that the origination of these U.S. transactions certainly increases our U.S. revenue that contributes to our favorable tax benefits we've given, given the large amount of our U.S. NOLs. 
 If we go to Slide 10. Here we present a few comments on our balance sheet for 2011. The decrease in cash compared to the prior quarter can be attributed to the fourth quarter acquisitions in Poland and Romania, the settlement of common stock and convertible bond repurchases committed to in the third quarter, partially offset by free cash flows. Total debt increased primarily to fund the year end Money Transfer segment cash requirement and capital leases for either additional or replacement ATMs in Europe. You will notice on our balance sheet that we have classified the remaining balance of the original $175 million convertible bond as short-term. The classification is driven by the October 2012 first call date provision in the bond agreement. 
 As you can see from our available cash on hand, together with free cash flows we expect to generate over the next 9 months and unused capacity on our $265 million revolving line of credit, we will not have a problem meeting the likely put of these bonds. 
 In summary, our balance sheet remains strong with modest leverage. On Slide 12, I will start looking at the full year financial results. Here on Slide 12, you can see full year revenue increased to almost $1.2 billion. Operating income of $79 million and adjusted EBITDA of $150 million. Full year cash earnings per share was $1.48 or a 9% increase over 2010. I will discuss the full year results in greater detail when I get to the segment information. 
 On Slide 13, you can see the 3-year trend in transactions for our EFT and epay segments. Before I get into the segment breakdown, I would like to highlight that in 2011, we reached a milestone by processing more than $2 billion transactions for the first time in Euronet's history. The full year trend in EFT segment transactions is largely the same as I discussed in the fourth quarter, so I won’t repeat them here. The full year expansion of the epay segment is attributable to a full year of transactions from our 2010 acquisition of epay Brazil, the third quarter 2011 acquisition of cadooz, growth in non-mobile content, particularly in Germany, and organic growth from the Middle East, Poland and India. 
 As we look at transaction trends, we note that our transaction growth outpaces revenue due to lower-yielding transactions from certain entities including ATX and India. 
 Now moving to Slide 14, where we review Money Transfer year trends. In the last 2 quarters of 2011, we started to see a rebound in transaction sent from the U.S. Total money transfers grew 11% -- 10%, I'm sorry, 10% including a 6% increase in transfers from the U.S., and a 1% increase in transactions to Mexico. Transactions initiated -- originated outside of the U.S. increased 16% compared to 2010. Non-Money Transfer transactions grew 43% for the full year, due largely to mobile top-up sold throughout RIA stores in Spain, and increased check-cashing transactions in the U.S. and Canada. 
 Now to Slide 16, where I will discuss year-over-year results on a constant dollar basis. On Slide 16, let's start with EFT. The full year results for our EFT segment were dramatically impacted by the rate reductions introduced in Poland in the second quarter 2010, and in Germany in January 2011. We have nearly overcome these rate reductions through the expansion of value-added services and cost savings from increased operating efficiencies. 
 Additionally, we have seen ATM growth in several countries including Poland, Romania, India and China. The EFT team really came through this year to virtually overcome the difficult hand it was dealt at the beginning of the year. We look forward to a year without such challenges. 
 In epay, our revenue operating income and adjusted EBITDA increased largely due to acquisitions including the full year impact of epay Brazil, and the full quarter impact from the third quarter 2011 acquisition of cadooz. The segments results also benefited from increased sales in non-mobile content, particularly in our German market. These increases were partially offset by declines in our Australian market. 
 Finally, our Money Transfer results reflect the benefit of our European expansion in new and existing markets, accomplished through the utilization of the PSD license we were granted in late 2009. These new markets helped grow our U.S. -- our non-U.S. business 16% despite the economic pressures in Europe I mentioned in the fourth quarter overview. 
 Additionally, we saw the long anticipated turnaround of our U.S. business with transactions increasing 6% over 2010, including a 1% full year increase in transfers sent to Mexico. 
 Operating income also benefited from full year amortization of certain intangible assets. These gains were partially offset by margin compressions in our U.S. market and increased operation -- operating costs related to network expansions. 
 With that, I'll conclude my comments and turn it over to Mike. 
Michael Brown: Thank you, Rick, and welcome to everyone on the call. Before I get into the specific fourth quarter highlights, I'd like to take a minute and reflect on our 2011 results. Referring back to our fourth quarter 2010 call a year ago, we mentioned the significant challenge facing our EFT business related to the German rate reductions effective January 2011. While the actual experience in our German business was in the ballpark of the negative $10 million annual impact to operating income that we communicated last year, I'm happy to report that just one year later, we have nearly overcome the gap created by Germany, as well as Poland, which was announced in May 2010, due to a variety of signed agreements and new products we have been telling you about throughout the year. 
 As I said last year, these reduced fees in Germany and Poland were only a temporary setback and our new revenue streams positioned us well as we move forward in 2012.
 Additionally, we've made strides in our Asia-Pacific market through significant ATM expansion in India, from more ATM outsourcing deals and the Brown label model I have spoken about in my previous calls, which is now taking hold. I'm excited about the positive momentum generated by the EFT team and look forward to strong results in 2012, as we put the German and Poland rate reductions behind us. 
 Now let me highlight some of the key achievements that we obtained  in the fourth quarter of last year. So please jump to Slide 21. 
 In Q4, the team continued to sign, renew and extend agreements across all of our markets to make up for the gap created by the rate reductions I just mentioned. I'd like to highlight a few of the more significant items that we signed during the quarter. 
  In Germany, we signed an agreement with Ikano Bank to operate ATMs located within IKEA stores. This is the first outsourcing contract in Germany, a market where we have historically only provided services through our own independent-deployed ATM network. We talked about that by the way, throughout this exchange, we call them IADs. 
 We also signed a long-term agreement with International Currency Exchange, ICE, to deploy ATMs at airport locations in Germany and Poland. We won this agreement after a successful launch of ATMs for ICE in the Czech Republic. 
 In Poland and Romania, we signed agreements with banks to operate automatic deposit terminals known in the industry as ADT. This is an emerging technology in Europe, and we are proud to add it as another product that benefits our customers. 
 In addition to new contracts, we renewed and expanded several agreements including a network participation agreement with Citibank in Poland, and a long-term expansion with Raiffeisen Bank in Romania to provide ATM and POS outsourcing. 
 Next slide please. On Slide 22, we highlight a number of value-added service agreements. In the fourth quarter, we launched new or additional value-added services for customer banks in Poland, Romania, Czech Republic, Slovakia, Serbia, Montenegro and India. Examples of these launches include advertising on ATMs, loyalty cards, ADTs as I mentioned before, bill payment and currency conversion on ATMs. 
 We also launched additional value-added services on our IAD in Romania. Our teams also continued to sign new agreements. Our team in India signed a deal to launch value-added services on access bank ATMs in India. In Hungary, we signed a long-term agreement to provide value-added services on MKBs ATMs. Additionally, we inked a deal with MasterCard to provide online authentication on client banks in Serbia, and we signed an agreement with Development Credit Bank in Singapore to provide mobile recharge on their ATMs. Let's move onto the next slide. 
 On Slide #25 (sic) [Slide 23], I'd like to talk to you about some of our new fourth quarter developments. During the fourth quarter, we made 2 acquisitions. In Romania, we acquired smart pay network, also known as PayNet, the company which provides ATM outsourcing, card issuing and acquiring, and POS merchant servicing solutions. With the acquisition we added 734 ATMs and 2,560 POS terminals, in addition to the 540,000 managed cards. This acquisition complements our growing Romanian ATM business through the addition of approximately a dozen new bank relationships. 
 Additionally, we acquired 535 ATMs from Diebold's cash4you network in Poland. These ATMs were accompanied by 350 contracts with retailers for their ATM location. The acquisition of these ATMs expands our relationships with leading retail bank brand, and also increases our value-added services reach. 
 At the end of the fourth quarter, 52 of these 535 ATMs were live on our network, with the remaining ATMs expected to be live by the end of the first quarter of this year. It is also important to note that as you look at our ATM counts, you will not see these ATMs in our backlog as these aren't Euronet-owned ATMs, which don't -- which are not included in our backlog count. 
 Finally, in the UAE, we signed a joint venture agreement with ATOM Associates to deploy payment in money transfer kiosks. We will earn a one-time set up fee for each kiosk and additional monthly driving revenue for processing transactions at the kiosk.  Euronet owns 51% of the joint venture and we expect to deploy our first kiosk in the second quarter of 2012. 
 During Q4, we added 1,556 ATMs, bringing our managed ATMs to 14,224, with a backlog of 451 units and a 483 cash4you ATMs to be added this quarter. With the regulatory rate reductions in Germany creating a hole at the beginning of 2011, our EFT teams demonstrated determination and resiliency to deliver more contracts and more products to fill that hole. This determination and commitment to expansion has positioned this division for continued growth as we move into 2012. 
 As I wrap up my comments on the EFT division, I would like to provide you with an update on the criminal security breach we announced in January. 
 At the end of last year, we learned that criminals had penetrated a portion of our business that accounts for less than 5% of our transaction volume, revenue and operating income. We moved quickly and with significant measure to contain the breach and we continue to work with third-party experts, the international card organizations and law-enforcement to ensure that this matter is resolved timely and appropriately. The full year and fourth quarter results reflect approximately $400,000 in expense associated with our response. 
 As I look at the industry, there are hundreds of similar breaches reported each year. I'm proud to say that the breach, which was limited to a small portion of our processing business was and is contained, and I'm confident that the aggressive measures taken to prevent future attacks has only made us stronger. 
 Now let's move on to Slide 27 (sic) [Slide 25], we'll talk about epay for a minute. On Slide #27 (sic) [Slide 25], we cover the quarterly highlights. I would like to reflect our epay's team accomplishment though in 2011. 
 During the year, this segment saw double-digit transaction growth driven by 2 acquisitions in organic growth and key markets. In addition, the team was successful in non-mobile product expansion by signing multiple new content partners across many of our markets. 
 Now I'll move on to the fourth quarter highlights. During the quarter, we signed an agreement with a large German retailer Netto Maxhütte to sell top-up through 12,000 POS terminals located within their retail stores. 
 In addition, we signed an agreement to distribute top-up through CUEVAS, a large Spanish retailer. We also launched several new products in the quarter and in the U.S., we launched bill payment at 5,000 RadioShack stores and in Spain, we expanded our product portfolio to include Orange and Vodafone products. 
 In Poland, we launched processing with REA Card, an independent supplier of POS terminals. In this arrangement, REA Card has the agreement with the retailer and we process the payments that flowed through the REA Card terminals. It's worth mentioning that we won this agreement through successful launches of our payment processing services in Germany and Austria. 
 Onto the next slide please. On Slide #28, we show our success in the non-mobile product expansion for the quarter. In Q4, we launched iTunes gift cards with 7 retailers in Switzerland, Austria, Spain and France on a combined 2,600 terminals. We signed an agreement with Euronics, a large electronic supplier in Germany, to produce and process their closed loop gift cards. I would like to point out that this agreement is significant because the production of cards allows us to move up the value chain by providing more than just transaction processing. Now in addition to processing those transactions, they rely on us to produce the physical gift cards as well. 
 In France, we launched Sony, Microsoft and Zynga gift cards at SFR and FNAC retailers. These launches represent our first entry into the non-mobile product space in France, a very large market. 
 Finally, we launched Zynga, Nintendo, Sony and Amazon gift cards in 19,500 retail locations in Germany, Austria, Switzerland, Italy and Spain. We've been quite busy. 
 Moving to our Gift Card Mall products, we launched Gift Card Malls in several major retailers. In Italy, we entered the Coop Italia, Italy's largest grocery retailer. In New Zealand, we've put Gift Card Malls in the petro channels through launches in Mobil, BP, Shell, Z energy and Caltex stores. 
 And finally, we launched the first Gift Card Mall in Brazil with GPA, Brazil's largest retailer. 
 Go on to the next slide please. During the quarter, we also launched several new gift box products. In case you are not familiar with the gift box, the purchase of the box allows the recipient to choose from a predefined set of experiences that are listed on a catalog within the gift box. We've launched the gift box at Unieuro stores in Italy. We also launched Smartbox, a leading gift box in Europe, across several retailers in Germany and Italy. 
 As I move on to cadooz, I'd like to take a minute to acquaint you with their product offering, cadooz provides 1 and 2 step vouchers. With the one step voucher branded as a DirectChoice, the recipient can redeem the voucher directly at any of cadooz's retail partners. 2 step vouchers, branded as BestChoice voucher, are exchanged for other vouchers of the recipient's choosing from over 200 retail partners. As we highlight the accomplishments of cadooz this quarter, I will note that we signed 5 new retail partners to accept the one step DirectChoice voucher. This is significant as the more retailers that accept this product, the more attractive the voucher is to our customers. 
 We also launched 2 new theme voucher product: MagazineChoice and DinersChoice. These are 2 step vouchers where the customers can redeem the vouchers directly with any content provider included under the voucher theme. 
 We also signed and launched several new non-mobile products in Q4. Since many of these products were launched  late in the quarter, we expect to see additional contribution beginning in 2012. I'm excited about the opportunities for non-mobile, I've been talking about this subject to you for several quarters and I am very excited as it represents, for the epay segment, growth as we move forward. 
 I will now move on to the Money Transfer segment and will hit those highlights in on Slide 33. On Slide 33, we provide our Money Transfer highlights. Before I get into the detail, I'd like to emphasize the positive momentum seen in the U.S., particularly to Mexico, which grew 10% in the fourth quarter. The Money Transfer team has excelled at growing the European business over the last few years to overcome the downward pressure of Mexico. And they've done that despite weak economies in Europe. I am excited to begin the year with this positive momentum, together with the strength of the European business that we have established over the last several years. 
 Now let me hit the highlights. We continue to invest in geographic areas and markets that are fueling our most rapid and profitable growth, through the addition of new agents, correspondents and retail location. 
 During the quarter, we opened 15 new retail store locations strategically placed in cities in the U.S., Canada and Australia. Our network now reaches 136 countries and 146,000 locations, which is a 33% increase compared to Q4 2010. 
 We also continue to focus on expanding our payout network. In Q4, we launched 23 new correspondents with approximately 4,000 locations. The most noteworthy are in the Ukraine, Nigeria and Kenya. 
 In addition, we signed 14 new correspondent agreements spanning 9 countries and approximately 1,000 more locations. The most significant of these are in Mexico, Honduras and Sri Lanka. 
 Now let's move to the next slide where we can talk about our transaction growth for the quarter. On Slide #34, you can see that our total transaction volume increased 11% in Q4 2011, compared with the same quarter in the prior year. This is largely attributed to the increase in transfers initiated in the U.S. 
 During the quarter, U.S. transactions increased 11% including a 10% increase in transfers to Mexico. This is the first double-digit growth in transfers to Mexico that we have seen in several years, and I feel this represents the long anticipated recovery of this important corridor. 
 In addition to U.S. growth, we saw an increase in non-U.S. transfers of 10% despite the fourth quarter foreign exchange volatility and the economic pressures in some of our European markets. 
 In Q4, we also saw an increase in non-Money Transfer transactions of 84% versus the same quarter last year. This increase is largely from epay's mobile top-up sold through our RIA network in Spain. Since the acquisition of RIA, we have seen potential cross-selling of products from our prepaid segment through RIA's distribution network. This is a channel we have continued to work and in 2011, we saw success in cross-selling mobile top-up through our RIA agents in stores. 
 We previously mentioned that during the year, we invested resources to expand our store and agent presence. In late 2009, we were granted a PSD license that allowed us to operate under one license in all EU countries. Over the last 2 years, we have used that license to significantly expand our European presence. In 2011, we also added 30 retail stores in the U.S., Canada and Australia. 
 In the fourth quarter, this expansion, combined with our focus on adding new additional payout locations translated to the growth in 3 key markets. Transfers to Africa, Asia and Europe grew by 14%, 34% and 35% respectively. 
 So while the benefits from these investments have not directly translated into operating income growth, we feel that the rebound of the U.S. market and the continued expansion of non-U.S.-initiated transfers despite economic pressures in Europe are precursors to margin growth. 
 I am confident that these investments and our focus on payout expansion have positioned our Money Transfer segment well as we move forward in 2012. 
 Now on Slide #35, I can talk to you about our summary and our outlook. Our Q4 cash EPS was $0.46, exceeding the guidance that we gave you by $0.05, even with a little over $0.01 of negative foreign exchange movements since then. 
 All 3 segments saw double-digit transaction growth for both fourth quarter and the full year. EFT had a very strong finish to 2011, and is well-positioned for 2012. EFT also completed 2 acquisitions, one in Romania and one in Poland. Epay continued to benefit from non-mobile product development and the third quarter acquisition of cadooz. 
 Money Transfer continued with U.S. outbound volume expansion with the first double-digit growth rate to Mexico in several years and realizes growth in Europe despite economic challenges there. 
 And finally, we expect our Q1 2012 adjusted cash EPS to be approximately $0.33.  
 As I reflect on the strong finish of 2011, I am excited about our sequential cash EPS growth through the year of 2011, from $0.30 in Q1, to $0.35 in Q2, to $0.37 in Q3, and now $0.46 in Q4. 
 I would like to thank our teams around the world for their hard work and delivering solid results in 2011, and I look forward to more of the same in 2012. 
 With that, I will open the floor to questions. Operator, will you please. 
Operator: [Operator Instructions] First question is from Robert Dodd of Morgan Keegan. 
Robert Dodd: Can you give us -- I can use a little bit more color on the changes in Brazil. Obviously, we've been through some issues in the U.K. which is mainly economic. Australia was changed in mobile distribution strategy and you mentioned that there's an issue starting up in Brazil. Can you give us a little bit more color on what the mobile operators and what strategy you guys are changing to adapt to that? 
Michael Brown: Yes, I would be happy to. In fact, I'll ask Kevin to do that for you, Robert. 
Kevin Caponecchi: Robert, epay was historically, always a national distributor of airtime across Brazil for all the mobile operators. One of the key mobile operators in the market has made a decision to change the distribution strategy and go with only local distributors in the individual markets, but the reason they've done that is these local distributors in addition to mobile airtime, also distributes SIMM cards and do hand-to-hand mobile top-up and so it's really a shift in distribution strategy by one of the mobile operators to go away from the national players to 1 of 50 local players in the market. And we were treated equally to the other 4 national distributors of mobile airtime in that market. 
Robert Dodd: Okay. So I mean, in terms of how you're going to adapt, either you're going to start distributing SIMs for example, I mean, or is it just... 
Kevin Caponecchi: Last year, we recognized this trend so we started distributing SIM cards for this particular mobile operator and in addition, we started distributing SIM cards for the other mobile operators to be a bit proactive with the other mobile operators. In terms of what we're going to do going forward, I think Mike and Rick, we're going to have a shift in strategy. I don't want to speak to exactly what it is we're going to be for competitive reasons but we're going to leverage the success we've had in some other markets like the U.S., where there's an ISO-like model and we've been very successful in repositioning ourselves in the U.S. And we're going to attempt to do that in Brazil. 
Robert Dodd: Okay, great. On kind of capital allocation, I mean, obviously, you  guys have plenty of cash, et cetera,  convert coming up. But a general question, obviously, I mean, you've seen a lot of growth in check cashing in the U.S. that's much more capital-intensive or cash-intensive than Money Transfer. I mean, how are you going about looking at putting more capital into that business versus expanding a number of location or even the allocation between the businesses in terms of that versus deciding whether you should put more money into looking for additional EFT or ATM acquisitions like Romania or Poland? 
Rick Weller: Robert, I would just mention on acquisitions, I said, is a separate discussion, but as it relates to just the general capital, we don't see that as driving much of a difference in our business because there's really kind of 2 components to that capital. One would be the cash to payout for the check cashing, and the second would be either agents or stores. Now we have expanded some of our stores in the United States, not necessarily just for cashing, but it certainly is an element that proves in the total return on one of those stores. And then we also do check-cashing through agents, so -- it  being largely an agent driven model, that would continue to be the case and it wouldn't drive that kind of expansion cash capital requirement. On the cash to payout check-cashing, that works quite nicely with the leveraging of the cash that we take in from the money transfer. So in those cases, we take in cash, and in check-cashing, we pay out cash. So we don't have to bring on additional working capital to cover that part of it. So it basically ends up being a nice product for us that synergizes the use of the cash that we have out there from our business and fits in nicely with either our store operations that we run, largely on the premise of  money transfer or the agent network. 
Robert Dodd: Okay. Great. That makes sense. One more, if I could. Quick one, if I can. Can you give us bit more color on cadooz's seasonality. I mean, with, obviously, its gross revenue, it turns that movement out [ph]  a little bit more but I expected more seasonality from that business given a full quarter in Q4. Can you give us a little bit more color on how choppy that's going to be, given it can barely move the revenue number more than the [indiscernible]? 
Rick Weller: Yes. It's going to be kind of in rough order of magnitude, probably about half of its business will  come in the fourth quarter and the other half will be spread throughout the other 3 quarters with kind of a traditional lightness in the first quarter like we see a little bit more with our other parts of the business, so it's kind of fourth quarter is the biggest then second and third were kind of in the same pact and first is a little lighter. But clearly, fourth carries a big load of that piece of business. 
Operator: Our next question is from Chris Shutler of William Blair. 
Christopher Shutler: A lot of moving parts in the quarter with the cadooz deal in late Q3, and then the Poland and Romania acquisitions in EFT in Q4. So really just hoping you can help us out in thinking about both the revenue and operating profit impacts from each of those in the fourth quarter? And then on cadooz, I think it's fairly seasonal in Q4. So hoping you can just speak to maybe how seasonal it is from an operating profit perspective? 
Rick Weller: From an operating profit perspective, it was a little addition, but not, it certainly didn't carry the day, I would tell you that the lion's share of the operating profit  in the fourth quarter was from non-cadooz stuff. And I would tell you, as we pointed out in the comments that probably, the lion's share of the revenue in the fourth quarter lift on epay was out of cadooz. So I think that kind of puts those in perspective. On the PayNet acquisition, there was really virtually nothing in terms of revenues or profits that came through. We had a little bit of profit, but it wasn't enough to even move the cash EPS number. 
Michael Brown: And on the cash for you, Chris, as I mentioned, there's about 50 ATMs that we've taken over so far, the 535. So we really got -- it won't be until kind of -- we'll get them all in this quarter so you'll start to see a little bit of a revenue impact in Q2, but not much in Q1. 
Rick Weller: So net-net, we had revenue production on the epay side, but not a lot of additional contribution, revenue -- or margin coming through in acquisitions in the fourth quarter. 
Michael Brown: Yes. So when we look at our cash EPS of $0.46, I won't say none of it but not a lot of it at all came from those 3 acquisitions. 
Christopher Shutler: Okay, great. In epay, the situation on Australia there, which I knew you've talked about in previous calls. Just curious, has that situation kind of stabilized at this point? Is it better or worse than what you saw in Q3? And then when should we think about that the impact of that kind of anniversarying itself in the numbers? 
Kevin Caponecchi: Chris, this is Kevin. So as we've reported previously, there was a step function decline related to a couple of mobile operators going direct, that has happened and played out. As we've mentioned on previous calls, we don't anticipate more mobile operators going direct. So when we look forward, there's the natural competitive environment in the market that we'll have to deal with. But I would say that we would expect modest growth in Australia in the foreseeable future. 
Christopher Shutler: Okay. And then last question for me on Money Transfer. Mike, I know you talked about the profits there, but the incremental margins at Money Transfer, it looked to me like they were kind of low double-digits for 2011. I know you said those should be higher and I know you're investing a lot right now, but maybe just give us a sense, as you look out to '12 and '13, where do you think incremental margins in that business could or should be? 
Michael Brown: Well, I think we can see them grow. I mean, what we have been over the last 2 years as we have grown our number of agents. In Europe, by a lot, I mean, by thousands. And we've done this by an investment in the sales force and that cost money and then usually, a typical sales guy takes like 6 months before he really starts paying for himself, but you look at our market share gains in Europe, and they've been extraordinary over the last 2.5 years. So we're taking the matter to PSD. We're going in all these new markets and we aggressively made some investments there, but we're to a point now where I don't think we need to buy any more new sales guys and we can watch these things start to play out. We get a kind of earnings ramp on account of that. So where could these margins go? I mean, they're going to increase, I believe. They are going to improve. If for no other reason, even if Europe stayed flat, they're going to increase because of the positive action we've got going down to Mexico. So at the end of the day, our overhead stays the same but the Mexican transactions are now in double-digits, when they used to be negative every darn quarter. And those transactions are a good chunk of our business. So I won't -- when you look at the EBITDA margins of our competitors, we're at the low end of those. We're at about half of the #1 guy and about 2/3 of #2. I think we can start closing that gap because that next new transaction to us is at about 35% marginal rate. So as we bring in more transactions, if we don't increase overhead, we bring about 35% of that revenue number right to the bottom line and we got a ways to go -- we're at less than half that right now at our margins. 
Operator: Our next question is from Gil Luria of Wedbush Securities. 
Gil Luria: I wanted to ask about the opportunity to do more deals like PayNet and the Diebold Poland business. Are you seeing -- are there more properties like that available now where you can get subscale single country outsourcers in Europe and Asia, and fold them into your infrastructure because it seems that would be maybe a new way of adding even more growth to that business? 
Michael Brown: Well, it's interesting because I truly believe that those 2 acquisitions were able to be consummated because of the turbulence in the EU economy. We had a seller in PayNet, it was basically a Greek guy and he was -- I think he wanted to get some liquidity into his pocketbook, the cash4you was -- I think that happened because of the lower interchange fees and nobody was making money except for us and Poland so they were able to sell that. I think that we're -- it's like this dark cloud with a silver lining. The silver lining in Europe is there are deals now that are coming out or there have been, they're a little bit more reasonably priced than they used to be, so we hope that more will come out, but I think the reality is individual companies, there's not a lot of. But what we're seeing is that on the bank side, we have signed all these new agreements that we've been articulating to you over the last couple of quarters with banks and as banks are finally kind of got their head off the clouds, they're starting to recognize that we can save them and make them money. We can remove some of the assets that they might have that aren't earning anything on their balance sheet. There's a lot of interesting products we can bring to bear and that weakness in the banking sector in Europe has been quite helpful to us. 
Gil Luria: Any particular countries where you see this type of attitude shift attitude shift? 
Michael Brown: If it wasn't for the attitude shift, we won't -- I mean, we've probably closed more deals in Europe in the last 9 months, 9, 10 months than we did in the prior 5 years combined, okay? I mean, it's just been unbelievable. We could have made up for the loss of Germany so quickly, had it not been for that. And it's not slowing down, I mean, there's just more deals to be had. We're not just selling outsourcing anymore. I mean, I think there's a theme here across all 3 of our divisions, as we're not just selling our single product anymore. We're not just selling outsourcing, we're selling a whole plethora of value-added services within EFT. We're doing the same thing in the epay segment and even now, in Money Transfer, where we're doing top-ups and check cashing and lots of other things. I think that's our mantra, is to take advantage of the fact that we do millions of transactions every day. We have millions of customers every day. Let's try to sell them something in addition to what they're buying today. 
Operator: Our next question is from Greg Smith of Sterne Agee. 
Greg Smith: Mike, when you -- we've had a lot of moving pieces in the business this year, currency, acquisitions, stuff in Germany and Poland. When you step back and look over the next couple of years, what do you think the organic revenue growth rate and kind of organic earnings growth rate is on the overall business? 
Michael Brown: Well, first of all, I never comment on organic revenue growth because revenue -- we've got 3 totally different economic models and we can have a little bit of revenue growth in epay and it's not going to give you much of the bottom line or -- I mean, you can have a lot of growth there and it won't even give you much of the bottom line because our flow-throughs are different. And we have virtually 100% flow-throughs in the EFT division, we've got 2% flow-throughs kind of in the other -- in epay division or we'll say 19% after the split. So I try not to conjecture where our operating income numbers are going to be, but I think you can see where they have been, our margins, and you can see that we've kind of got over the hump of these regulatory changes in Germany and Poland. And I think they're going to do nothing but improve over the next couple of years. We're in a really good move. I mean, we're definitely in the double-digits. My goal for this company is to get to 20%. So we're not there yet. But that's my goal. 
Greg Smith: Okay, great. And then in Money Transfer, your largest competitor is facing some issues along the border states there, and it seems like you're picking up some of that benefit potentially. Is there any concern that kind of compliance and regulatory pressures could increase and you might feel some of those effects eventually? 
Michael Brown: I mean, those guys are 10x or 8x our size. I mean, there is plenty of market out there, that  we can -- before we're worrying about board of pressures. And that's just the U.S. Don't forget that we are now generating about 55% of our gross margin outside the U.S., where we have a model that's different. Our #2 competitor does 2/3 of its business in the U.S., and only 1/3 overseas. Well, we're doing 55% overseas. So don't look at us through the same lens as you look at everybody else because our name is Euronet and our focus has always been outside the U.S., and we have a lot of strength in assets there. 
Kevin Caponecchi: And Greg, I would add that compliance really probably falls into 2 parts. One would be what might happen on the, let's say, the political front as it relates to tightening up the border, et cetera, that one is clearly out of our control and doesn't do any good for us to conjecture on that. The other one has to do with how we run our own shop with respect to compliance and as Mike said earlier, we've grown our business. We've put expenses into our business and we continue to be very compliance focused to make sure that we are doing the right type of work on whether it's agents we bring on or the transactions we process. So we believe that our fundamental processing systems and attitudes toward compliance have not changed, have not diminished and that we shouldn't see any adverse impact on our business as a result of our own compliance processes. 
Operator: Our next question is from John Kraft of D.A. Davidson. 
John Kraft: I just wanted to quickly follow-up on Greg's last question there. As far as Mexico, how is it looking so far into Q1 pertaining to Q4? 
Michael Brown: Much better than Q4. In Q4, was unbelievably -- was unbelievable for us. 
John Kraft: Wow, that's encouraging. And then moving to the mobile top-up now that you're offering in some of the Spanish agents, is there something that would preclude you from doing that in all of your other markets? 
Michael Brown: Well, absolutely not. In fact, we're rolling it out as we speak, in Italy, Germany and France, I think, France, I'm not sure on France. But we're rolling that out really kind of as we speak. So probably by the next time we talk, I'll be able to claim a couple of more wins. 
John Kraft: And then lastly, just on the liability potential for the breach, it sounds like you've got insurance that could cover that but what about -- I mean, you didn't spend much money really here, $400,000 or so to update some systems. Is there a potential for needing to kind of update some of the rest of the -- some of your other systems? 
Michael Brown: We will spend what we need to. What we looked at is there are some procedural things that we could do that aren't necessarily expensive that will help harden us, plus we've got an ongoing investment now with some very sophisticated gear and procedures and software so that you can sniff this stuff out long ahead of time. And that's all baked into our number. A little bit more but -- I think the reality is we'll notice it because we notice every dollar we spend but I'd bet you, you don't notice the IT increase. 
Kevin Caponecchi: This is Kevin. The $400,000 that we reported in the fourth quarter, we've done more than that behind the scenes to make sure that the systems are secure going forward. 
Operator: Our next question is from Mike Grondahl of Piper Jaffray. 
Michael Grondahl: Three questions. The first one is the growth in ATM units was very strong in 2011, and it looks like you have a pretty good sideline to 15,000 units. Mike, where do you see the business going over a couple of years? I mean, could this be 20,000 units? 19,000 units? Just like to get a sense of what you're thinking about a little bit down the road? 
Michael Brown: Well, we're in a -- first of all, I think we're going to continue to grow our own IAD, okay? #1. And that's going to be some amount of hundreds or maybe a thousand or whatever. We have these automated deposit terminals, which are kind of bifunctional, kind of machines that will both take in or dispense money. So we see that as an opportunity for us because Europe, particularly Central Europe is still such a cash-based economy. And lastly, we're in discussions with a multitude of banks right now, to actually buy their assets or outsource their assets and they're having substantial talks with us and any one of these deals could be 1,000 all by itself. So if you say do I have a sideline for 20,000 in the next 2 years, it would absolutely stun me if we don't get there in 3 years. 
Michael Grondahl: That's helpful, Mike. Then second question, in the epay business, the top-up business, it looked like revenue per transaction actually grew year-over-year, and I think that's the first time in many years, what's driving that growth per transaction? 
Michael Brown: Rick, correct me if I'm wrong, but remember how we've got the different economic model with cadooz, where instead of just -- it's kind of the whole face value of the voucher you recognize, which classically for us, is about 15x as much revenue as what we normally recognize at a transaction. So just any kind of revenues we bring in cadooz kind of skew that a little bit. 
Rick Weller: Mike, supplement it with the non-mobile top-up where we typically make a little bit more on those transactions. 
Michael Brown: Yes, that's another good point. 
Michael Grondahl: Okay. And then lastly, Mike, can you just give us an example in the value-added services. You had a couple good slides on a lot of the new deals, but could you walk us through like iTunes in a certain country, kind of what the growth has been, or Zynga, kind of what you've seen quarter-over-quarter, and what you expect over the next few? 
Michael Brown: Okay so I won't -- to give you an idea in Zynga, we brought that live in December in a couple of countries, okay? So the numbers on that were virtually 0, but those big retailers are now live with it. We're doing the same thing with Facebook. We mentioned all these big retailers that we've got in all these different countries have gone live through. Our biggest ones that we've had for a longer period are the ones that are actually causes of value-added service numbers to go up and these are things like iTunes, and Amazon, and Microsoft, Xbox, and Sony PlayStation, et cetera. These new kind of social networking and whatever, the Zyngas and the Facebooks, they really haven't yet taken hold. But I think at the end of the day, we're in a high teens right now, as far as number of transactions and our growth rate over the last few years, Kevin, what would you say, like growth rate of value-added services last -- this year, 2011 over? 
Kevin Caponecchi: Non-mobile as a percent of the total epay business and contribution margin has grown significantly, it's now in the high teens. 
Michael Brown: Which would make it if we start -- remember, it was about this time last year that we were around 12%. So you can do the math on that, that's 50%,  60%, 70% growth. I don't have the number in front of me, Mike. 
Michael Grondahl: Okay. Well, a little bit of the color there helped still. 
Michael Brown: It's growing really fast. 
Kevin Caponecchi: I guess, in summary, it's meaningful. 
Michael Brown: That's the plan. It's nice when you -- I talked to you about value-added services and epay now for 2 years, for 8 quarters, but the first 4 of those, I wasn't moving the needle. Now we're moving the needle. 
Operator: We have a question from Peter Heckmann of Avondale Partners. 
Peter Heckmann: Rick, can you talk about the operating cash flow in the fourth quarter? 
Rick Weller: I don't happen to have that right here in front of me. It comes off of our traditional GAAP cash flow statement here, but if you take a look at our cash earnings since our cash earnings per share have largely taken out non-cash items in our CapEx is about equal to our depreciation in the fourth quarter was a little bit higher because of some of these ATMs we bought, but that becomes pretty close to our operating cash flow. 
Michael Brown: That was 51 million shares and doing $0.46, you can do the multiplication there. 
Peter Heckmann: Okay. And then how about CapEx for 2012, can you give us a range there? 
Rick Weller: I would expect it to be up a little bit. I would tell you probably in the kind of, let's say, $40 million to $50 million range. We were a little bit lighter this year if you add up all the quarters there, but I don't expect it to be $70 million. So kind of somewhere --  let's call it $40 million to $50 million, zip code. 
Peter Heckmann: Okay, that's fair. And did you repurchase any shares or any converts in the fourth quarter? 
Rick Weller: No, sir. 
Michael Brown: No, not in the fourth quarter. 
Peter Heckmann: And then last thing, on your first quarter guidance, a little bit stronger than maybe what I expected, given my perception of the seasonality. Would it be appropriate to assume that the EFT segment is -- we're really seeing some follow through with incremental margins there and then maybe just a little bit of benefit from this lower tax rate issue you discussed? 
Rick Weller: Yes, I think so. I think as Mike said, we finished 2011 on the EFT side with pretty good momentum there. It's nice to see the momentum going on the Mexico stuff, on the Money Transfer here. We could have completed the acquisition of the epay cadooz business there. So yes, I think on balance, we've got good momentum going into the first quarter. 
Michael Brown: Yes, I mean, really, all 3 segments, we're happy with right now. It's nice to hit on all the cylinders. 
Operator: We have a follow-up from Mike Grondahl of Piper Jaffray. 
Michael Grondahl: Just a quick follow-up guys. Did you say what the tax benefit was in the quarter? And then what did you say about the tax rate going forward? Could you repeat those please? 
Rick Weller: I said that the $0.05 that we had exceeded our guidance on was because of tax benefits, and that was slightly offset by a little bit more than $0.01 of FX headwind. And I said that I would expect our cash earnings effective tax rate to be slightly less than 30%. 
Michael Brown: And of the $0.05 or so that we had as far as tax stuff, about half of that is onetime and the other half, we should see on an ongoing basis, though spread over 4 quarters.
 All right, thank you, one and all, for spending a little over an hour with us. And we look forward to talking to you in a couple of months for our next call. Thank you. Bye-bye. 
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect and have a wonderful day.